Operator: Ladies and gentlemen, welcome to the Beiersdorf H1 Results 2025 Conference Call. I am Valentina, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christopher Sheldon, Head of Investor Relations. Please go ahead.
Christopher Sheldon: Good morning, everyone, and thank you for joining us this morning for the presentation of our first half year results 2025. I'm here with our CEO, Vincent Warnery; and our CFO, Astrid Hermann. As always, we will start with the presentation of our results, followed by a Q&A session. And with that, I would like to hand over to Vincent.
Vincent Warnery: Thank you, Christopher. Good morning, everyone, and thank you for joining today's conference call. Astrid and I will now present an overview of our financial performance and key developments for the first half of 2025. Beiersdorf showed a solid performance in the first half year despite a challenging market environment. Market growth, especially in the emerging markets, was slower than expected due to broader economic uncertainties, geopolitical effects and lower consumer confidence. Our core brand NIVEA navigated a weaker mass market and faced a tough comparison base in 2024. This resulted in a disappointing performance below our expectations in the first half of this year, especially in the second quarter. Our Derma business, on the other hand, once again set a benchmark in the industry. Performing against tougher market conditions, Derma continued its growth trajectory from Q1 and achieved outstanding double-digit sales growth in Q2. Our strategy of launching breakthrough innovations across our global brands and expanding into white spaces continues to pay off. This is our expertise and our strengths, and we have demonstrated it with the outstanding success of our anti-age ingredient Epicelline under Eucerin. This gives us great confidence that the launch of Epicelline under NIVEA will be even more successful and boost our sales in the second half of 2025. Looking at our luxury brand La Prairie, we saw some positive signs in China during the second quarter, while other markets remained soft, particularly the U.S. and travel retail. Altogether, amid a volatile market environment, we continued to advance on our path towards global leadership in skin care because skin care is what we know and do best. Although we aim for strong growth, our skin care performance outpaced that of our key competitors. Reviewing our sales performance, the first half of the year showed a mixed picture for our brand portfolio, framed by volatile and demanding market dynamics. NIVEA grew by 1% organically in the first 6 months, impacted by slower markets and a high prior year comparison base of 11.1%. While the first quarter 2025 showed a solid performance, the second quarter did not meet our expectations. With 12.2%, our Derma business delivered again a strong double-digit organic growth despite a softer market environment. Driven by innovation and expansion into white spaces, our Derma brands continued to be our current growth powerhouse. The Health Care business, which primarily comprises the Hansaplast and Elastoplast brands, delivered strong organic sales growth of 8.4%, a significant improvement compared to 4% in H1 2024. The increase was again innovation led and mainly driven by the launch of the new innovative Second Skin Protection plaster in the first half year. As planned, La Prairie was able to decelerate the sales decline over the past months. After a drop in sales of minus 17.5% in the first quarter, the second quarter was at minus 1.5%, leading to minus 10.7% in the first half year 2025. All in all, in the challenging market environment, the Consumer Business achieved sales growth of 1.9%. tesa reached 3% sales growth in the first half of the year due to the high-performing Electronics business. This results in a group organic sales growth of 2.1%. NIVEA fell below our expectations in H1, which is the result of a mix of expected and unexpected factors. We are comparing against an exceptionally strong first half year 2024 when NIVEA grew 11.1%. As we move into the second half of the year, the comparison base softens, giving us a more favorable setup in the coming quarters, together with a stronger second half year innovation pipeline. In China, we have taken bold steps to reset and refocus the NIVEA brand, moving away from price-sensitive personal care segments towards premium skin care and grow through a digital-first approach. These planned measures are on track but continue to impact our short-term results. In addition, the mass market did not grow as anticipated. Former growth drivers, particularly emerging markets and Eastern Europe, have slowed significantly, with market value growth moving from double digit to mid-single digit and volume growth in emerging markets declining from mid-single digit to nearly 0. This was due to economic uncertainties and more cautious consumer spending. The unpredictable nature of U.S. tariffs has been adding further uncertainty. Like many of our larger competitors, we are facing increased competition from local brands. Many of these small brands are based on a simple ingredient story and have shorter life cycles. We have successfully navigated similar competitive pressures in the past, and we plan to continue to do so through breakthrough innovations and product launches in many markets. Our Derma business is a showcase for success on the global scale through innovation based on skin science. Our double-digit sales growth continued through Q2 at an impressive 13.3%. We gained market shares across all regions and outperformed the market by 2.1x. Expanding into white space market was the key driver of our business in the first half year. In North America, our biggest market for Derma, we delivered strong double-digit growth of 11.6%. This was mainly driven by the continued success of Thiamidol. The launch of the Eucerin Radiant Tone collection in early 2025 shows excellent traction. The entry of Eucerin in domestic China exceeded expectations, with an outstanding 61.9% organic sales growth in the first half of the year, and there is more to come. Following the official approval of our patented ingredient Thiamidol in China last year, we are ready to unlock the full potential of this market. A key driver of these results was Epicelline, which reactivates youth genes to reverse signs of aging. In less than a year after the launch last September, we have taken #1 positions in many markets across the globe. In Germany, Mexico, Brazil and Chile, our Eucerin Epigenetic Serum has become the #1 antiaging product in the respective markets. We have not only reached #1 positions in many markets. The true power of innovation lies in how it resonates with consumers and performs against top products from peers over time. Our repurchase rates are impressive across market, with a 51% top score in Thailand, followed by France, Germany and Mexico. While the cumulative 23% of consumers in Germany have repurchased the Epigenetic Serum since launch, an outstanding 37% of consumers who bought the product in the first month of launch have repurchased it in the meantime. This is 3x higher than other top innovative products in the market. Further growth potential is expected as we continue to roll out Eucerin Epicelline across the world and unlock the full consumer potential. Now it's time for NIVEA to bring Epicelline in to a new level. By launching Epicelline in our iconic brand, we tap into even greater potential as we enter the mass market and make this breakthrough ingredient available to a large attractive consumer base. Introducing the NIVEA Epigenetics Serum is a major milestone in our innovation strategy and a game changer in the mass antiaging market. We are extremely excited about this launch. Longevity is top of mind for consumers. And our goal is to lead the way in longevity science by cutting-edge research based on real consumer insights. By leveraging the power of epigenetics with our breakthrough ingredient Epicelline, we provide an effective solution for more youthful skin already today. For us, true skin longevity means scientifically proven ingredients that target the root causes of aging. The NIVEA -- launch of the NIVEA Epigenetics Serum is underway. Starting in September, consumers in Europe will benefit from this innovation, which is scientifically proven to reverse skin age by reactivating youth cell functions. And we are fast. By the end of 2025, NIVEA Epigenetics Serum will already be available in 30 countries worldwide. This ambitious launch plan realized in just a few months reflect the strengths of our organization. With Eucerin, we have seen that this product can truly make a difference. With NIVEA, we make this difference even more accessible, which is why we aim to roll out the product globally as quickly as possible. I look forward to sharing the results with you in our future quarterly calls. Innovation will pave the way for a stronger second half of the year for NIVEA. With a strong innovation pipeline ready to be rolled out, we are confident to improve our growth and gain market share in the coming months. We expect net sales from launches to be almost double the 2024 level. As already mentioned, the market entry of the NIVEA Epigenetics Serum is anticipated to be the biggest launch ever for Beiersdorf. Other examples are the launch of the Derma Control deodorant range, which brings skin care expertise and personal care performance together. I will come back to that in a moment. And the new Skin Glow range with Thiamidol, building on the success of NIVEA LUMINOUS630, this new range makes our hyperpigmentation ingredient available to a broader, more diverse consumer base. Coming to La Prairie. The luxury brand was able to decelerate the decline in sales over the past few months. The second quarter showed encouraging dynamics, with organic sales growth of minus 1.5% after minus 17.5% in the first quarter of this year. Overall, the brand recorded an organic decline in sales of minus 10.7% in the first half year of 2025. In China, La Prairie managed to grow by 3% in the second quarter amid a volatile market environment. This result was driven by the continued outstanding performance of our online business of plus 36% organic sales growth in the second quarter. However, despite first signs of improvement in China, other regions remain challenged. The market in the U.S. and travel retail were negative in Q2. We expect market conditions to remain volatile in the coming months and are, therefore, cautious in our outlook. Chantecaille delivered outstanding double-digit sales growth of 16.1% in the first half of 2025. The already impressive performance in the first quarter was followed by organic sales growth of 16.3% in the second quarter. The U.S. contributed to this result with plus 15.3% growth. Following the record time launch of Chantecaille in China in 2024, we are on track with our business in the market, particularly in e- commerce, where we continued to build momentum. In May this year, we took the next step by opening our first brick-and-mortar boutique in Shanghai, a key milestone in our growing presence and commitment to the Chinese market. Altogether, our skin care business grew by 2.6% organically in the first half of the year. While we certainly aspire to drive stronger growth, we performed better than our key competitors in this category even in uncertain market environments because it is skin care expertise that sets Beiersdorf a part. It's not just what we do, it's what we do best. We focus on what matters most to our consumers. We target future-defining skin care needs from hyperpigmentation to aging skin with innovation that make a difference. Take Thiamidol, for example, our patented solution designed to reduce pigmentation marks. It's a global growth driver across our key brands. And Epicelline, after years of pioneering research in epigenetics, we are setting new standards with our age-block technology and the breakthrough anti-age ingredient, and we deliver, with Epicelline in Eucerin and now with NIVEA. With our innovative product offering, we attract consumers across the world and are able to expand into white spaces with success. Take India as an example. With the right assortment and launch strategy, we were able to successfully introduce Eucerin and lift NIVEA to new heights. In this highly competitive market, our business grew by more than 30% in the first half of the year. And we are succeeding in effectively competing against private labels. Take sun care. In sun care, we have managed to successfully outperform the market and gain market share this season across our key markets, most prominently in Europe, the largest region for NIVEA Sun. Here, we grew by 12.7% in the first half year. Our deodorant business is one of our long-standing contributors to Beiersdorf's success. With the launch of the Derma Control deodorant range, we are bringing something truly new to our consumers. For the first time, we are combining high-performance personal care with our trusted skin care promise. The result: superior skin care without compromising on efficacy. Now over to you, Astrid, for the results of our tesa segment and the financial for the first half of the year.
Astrid Hermann: Thank you, Vincent. Now let us review tesa's business performance for the first half of 2025. During this period, tesa achieved organic sales growth of 3% year-on-year despite a challenging economic environment marked by rising political uncertainty, which continues to weigh on demand across markets. The Electronics segment was a significant contributor to this growth, benefiting from a favorable phasing linked to earlier phone and tablet launches and strong demand in Greater China and Asia Pacific. The automotive market, on the other hand, remains volatile, especially in Europe and North America, offset by a strong performance in Asia Pacific and Greater China. The Consumer segment continues to face difficulties, particularly in Europe but showed strong double-digit growth in the e-commerce channel. I'm excited to share some great news. tesa has partnered with ZEISS Microoptics to develop next-generation holographic solutions. By combining tesa's advanced optical clear adhesives with ZEISS' optic expertise, we're speeding up the creation of transparent high- performance applications for the automotive and home tech markets. Together, we are working on industrializing holographic films, starting with automotive windshields. This technology will allow us to integrate holographic display seamlessly, enhancing both functionality and design. The automotive industry will benefit a lot from this development. Holographic windshields can support features like head-up displays and augmented reality, completely transforming the driving experience. This innovation can not only boost safety and user experience but also offers more design flexibility by simplifying the overall structure. Our partnership with ZEISS is a strategic boost that leverages our strength to deliver innovative solutions that will shape the future of automotive and home technology. Now let's continue with the detailed financial results. Let's start by reviewing our sales performance at both the segment and group levels. In the first half of 2025, Beiersdorf Consumer division grew by 1.9% organically. Due to unfavorable foreign exchange effects, including an appreciation of the euro, nominal sales remained flat at EUR 4.3 billion. The tesa division reported strong organic sales growth of 3.0% for the same period. In nominal terms, net sales increased by 1.6% to EUR 858 million. Overall, the group generated EUR 5.2 billion net sales in the first half of 2025, translating into a 2.1% organic and 0.2% nominal growth rate. Let's take a closer look at the organic sales growth of our Consumer Business in the first half year across regions. In Europe, we grew by 1.0%, with Western Europe growing 1.1% and Eastern Europe, 0.4%. Western Europe continued to be impacted negatively by our global luxury travel retail business, especially in Q1 this year. Eastern Europe was impacted by a market slowdown compared to previous years. The Americas region concluded the first half year with a solid 2.5% growth. Consistent with Q1, North America experienced a mixed performance, resulting in 2.3% growth. Our Derma business continued its double-digit trajectory, while we were facing challenges with Coppertone in a weak sun season. Latin America grew by 2.7%, also a result of a mixed performance. Eucerin grew at excellent double-digit rates in our key markets, Mexico and Brazil, while our NIVEA business was affected by an overall slowdown of the market compared to the previous years. The Africa, Asia, Australia region delivered sales growth of plus 2.7%, negatively impacted by the ongoing NIVEA portfolio cleanup in China, which is progressing as planned. Strong performance, on the other hand, was recorded in countries like India and Thailand. Now let's review the key figures at the group level. I already spoke about the sales figures, so let us focus on profitability. In the first half year, we generated EBIT, excluding special factors, of EUR 836 million, which translates to an EBIT margin of 16.1%. The slight decrease versus 2024 was due to the lower tesa EBIT. Excluding special factors, our earnings per share remained unchanged versus last year and amounted to EUR 2.54 per share. Let's turn to the performance by segment, again, with a focus on profitability. We increased our Consumer EBIT to EUR 691 million in the first half of 2025, corresponded to an EBIT margin of 16.0%. The 10 basis points increase versus 2024 was mainly a result of higher -- of the higher gross profit margin. tesa's EBIT at EUR 145 million was slightly lower than last year, mainly as a result of unfavorable foreign exchange effects, phasing and additional investments in growth. The gross margin of our Consumer Business increased by 30 basis points in the first half year. We faced an 80 basis points pressure on cost, mainly due to unfavorable transactional foreign exchange effects. Thanks to the strength of our brands, our global pricing power and favorable mix effects, we were able to more than offset the higher cost of sales. The positive mix effect driven by our focus on skin care and the success of our Derma business contributed to the gross margin improvement, while the weaker performance of La Prairie had a dilutive effect on the overall gross margin. Finally, I would like to walk you through the key figures of our group income statement for the first half year. As I mentioned previously, we reported sales of EUR 5.2 billion in the first half of 2025, growing at 2.1% organically. Our group gross margin improved by 20 basis points, driven by the positive development in the Consumer Business. Our commitment to growth through innovation is visible in our ongoing investments in research and development work. Our marketing and selling expenses increased both in absolute and relative terms, and we plan to continue investing behind our strong launches in the second half of the year. However, we want to emphasize our commitment to improving the return on investment within our marketing budget, with a focus on working media, digital advertisement and precision marketing. Our general and administrative expenses slightly increased due to the phasing effects and an extraordinarily low first half last year. We expect this to normalize throughout the year. As a result, we achieved an EBIT of EUR 836 million, slightly below the previous year's level. Our profit after tax amounted to EUR 561 million, which is EUR 29 million below the 2024 levels and mainly a result of extraordinary expenses, which occurred in the first half of 2025 on the back of an extraordinary gain due to the sale of real estate in the prior year period. Our financial results was also below the level of the first half 2024, largely due to an extraordinary income in 2024 and revaluations due to currency fluctuations in 2025. The underlying interest income in the first half of 2025 was comparable to the prior year period. With that, I would like to hand over to Vincent, who will provide the outlook for the rest of the year.
Vincent Warnery: Thank you, Astrid. Let's conclude with our guidance for 2025. We acknowledge that our first half year results with an organic sales growth of 1.9% for Consumer were below our initial expectations. The volatile developments in large areas of the world result in a high degree of uncertainty in the markets, which have remained challenging through July. Nevertheless, we remain optimistic about our ability to drive growth through strong innovations and the expansion into white spaces. We have strong confidence in our brands and our ability to navigate this time successfully. We also expect to deliver a stronger second half of the year than the first half as outlined in our presentation. As a result, we expect an organic sales growth of the Consumer Business for the full year 2025 of 3% to 4%, reduced from the previous 4% to 6%. We have also taken the decision not to reduce our marketing budget proportionally as we want to ensure continued investments in our strategic launches. We remain committed to delivering profitable growth and an improvement of our EBIT margin. For 2025, the EBIT margin, excluding special factors in the Consumer segment is, therefore, expected to be 20 basis points above last year's level, down from the previous 50 basis points guidance. In the tesa Business Segment, we continue to expect organic net sales growth of 1% to 3%, with the development of the automotive market playing a crucial role in determining whether we reach the upper or lower end of this range. Additionally, we confirm our guidance for the EBIT margin, excluding special factors, which is expected to be around 16%. Overall, our group organic sales growth is expected to be at around 3%, with the EBIT margin, excluding special factors, projected to be slightly above last year's level. Now over to you, Christopher for the Q&A.
Christopher Sheldon: Thank you, Vincent. Now we're ready to go to the Q&A. [Operator Instructions] And please note that we have a maximum of 2 questions per caller. I can see there are already a number of questions on the line. So the first one will be from Celine Pannuti from JPMorgan this morning.
Celine A.H. Pannuti: So Vincent, maybe my first question is trying to understand on the new targets for Consumer, 3% to 4%. You mentioned that July still seems to be quite weak. So could you please explain how the cadence of growth will happen in the second quarter? Because you also mentioned that Epicelline NIVEA will be launched in September. And what will drive -- I mean, which regions will drive an acceleration needed to get to your new 3% to 4% range? My second question is on NIVEA. The weakness that you referred, I believe that NIVEA was probably negative in Western Europe. And you did mention as well that sun care was quite good. So I would like to understand what's really going on within the skin care range. Is that what's driving the weakness? And do you think that -- is it an issue of pricing being too elevated? Are you losing share in the market? If you could explain your confidence that the Western Europe market for NIVEA is in a good place as you launch the Epicelline range.
Vincent Warnery: Thank you, Celine, for your -- both questions. So on the coming quarters, we have a few big events which are making us more optimistic. The first one you mentioned, it is the launch of NIVEA Epicelline, which is starting in September. So we have the start of this, Celine. And as we said, we have 30 countries and obviously the biggest countries, which will be covered by this launch until the end of December. We are pretty optimistic not only because we have seen the success of Eucerin, but also because we're coming with a more accessible proposal. The price of NIVEA Epicelline will be between 40% and 50% cheaper than Eucerin. So obviously more into the value-for-money positioning of the brand. The second element, which is also important for NIVEA, is also the development of China. As you know, we have taken the decision to clean and to make the house ready for Thiamidol. So we had a pretty negative Q1. Q2 has been better. Q3 will be still negative, but clearly, in Q4, this is the moment when we'll start to see really a good momentum in China. So this is why on NIVEA, we are pretty optimistic. The big thing also which is making us positive is that we have an increase of the net sales linked to launches by 98% in the second semester. We have a pretty unbalanced launch plan in 2025. Part of it is something we should have done better. Another part is that we decided, of course, to give the time to Eucerin to establish Epicelline before moving to NIVEA a few months after. On your big strategic question on NIVEA, I would say there are 2 phenomena. One is obviously the fact that what used to be our big markets, growth markets, emerging markets and Eastern Europe are no longer delivering the level of growth they had in the past. We are talking about market growth divided by 2, moving from 12% to 6%, which is obviously impacting the core business. We have also -- and we are not the first company mentioning that, the issue we have with local brands, those local brands which are cheaper, which are based on the ingredient and which are obviously taking market share away from all of us. What is making us positive that we might have found the solution is the very good results of the sun season because clearly, I think I mentioned that to you, sun is the most difficult category for us when you face private labels and local brands because it's very difficult to explain why my own NIVEA SPF 50 is worth 3x the SPF 50 of a private label. And I think we came in 2025 with exactly what the recipe of Beiersdorf, which is not only with -- coming with a true innovation, we brought Licochalcone, which is a major ingredient for us, and hyaluronic acid into fantastic product, which is called the Primer, but also by having a much better story about the difference between the NIVEA formula, particularly in terms of penetration into the skin versus the private label, and we are growing double digit. So that is giving us a good idea of what we can do in the coming months, having breakthrough innovations, having found also the way to counter attack against local brands and private labels and having this huge portfolio of launches coming in the months to come. What is also a last good news, you were mentioning Europe, we were, by far, the most aggressive company in terms of price increases, and we had some big retaliations in some countries. We are almost done. I mean we have covered 90% of the business. We have signed a pricing agreement. So we have nothing really big remaining, which means that we are now in a position to have to be back on shelf in some stores where we are delisted, to have full support of retailers in most of our European countries. That's why we believe that the year to go will be much better than the year today.
Celine A.H. Pannuti: All right. So just to follow up on your price positioning in NIVEA in Europe, are you happy with the level of pricing versus other brands? Or do you think there's some...
Vincent Warnery: But we are obviously more expensive than local brands. We are more expensive than private labels, but we'll find -- you will be able to find a beautiful NIVEA Epicelline between EUR 25 and EUR 29, which is a pretty good price for the most innovative innovation in the last 12 months. So I think we are -- of course, it's more expensive than the NIVEA Creme that you know very well. But I think we have seen with LUMINOUS that it's a great price positioning. So we are confident.
Christopher Sheldon: And the next question is from Callum Elliott from Bernstein.
Callum Elliott: I wanted to focus a little bit more on the longer term, if that's okay, and the strategic repositioning away from personal care towards skin. Vincent, skin is obviously a very challenging category right now, as you highlighted. Despite the weak growth in H1, you're actually outperforming peers. And on top of that, in the scanner data, we see you losing a lot of market share in many of the categories that you seem to be deprioritizing in personal care, which is obviously sort of weighing on growth in addition to those market headwinds in skin care. So my question is, in this kind of challenging environment, do you start to doubt the longer-term strategy at all? And then I have a follow-up second question on margins as well.
Vincent Warnery: We said it, skin care is what we do the best. And we see that despite these results, which were below expectation, we are growing much faster than anybody else. And you have seen already the results of the big, big skin care companies. What I think is difficult in a short-term basis is obviously, we are losing market share and sales in categories where obviously, we have not really the right to win. If you look at the men shaving, if you look at shower gels, there are categories where we have no added value. I mean it's not really driven by innovation. It's cheap. We don't have a very good gross margin. So this is clearly not something in which we'll reinvest. What is absolutely essential within personal care is deodorants. And this is a category which is not only very important for us in terms of sales, but where we believe and we know that we can bring really innovation. We created, 15 years ago, Black & White, and we created this new category, and Black & White is by far the biggest franchise of deo. And we are coming today with something which you might say we should have done that a long time ago, which is meeting the skincare expertise of Beiersdorf with obviously the best deodorant formula, and this is Derma Control. This is hitting the shelves right now. So we will clearly invest more in deo. We'll rebalance slightly the investment between skin care and deodorants. And we believe this will help us making -- delivering a better growth in the months to come. So we clearly -- to answer your question, we clearly believe that skin care should and will remain the absolute priority of the company, but there are some smart ways to bridge skin care with categories. I also mentioned plaster. I mentioned deo now, where we believe we can really bring something to the market, and this is what we're going to do bigger and better in the months to come.
Callum Elliott: Okay. And then on margins, obviously, you've trimmed the 50 basis points target for 2025 to prioritize growth. My question is over the more medium term, how do you think about balancing these priorities? Would you, for example, be willing to sacrifice the margin expansion again in 2026, given that it seems that industry growth is quite likely to remain challenging in the near term?
Vincent Warnery: I will not give you a guidance for 2026, and we have time, and we'll see what happens in the year to go. I think clearly, we are absolutely committed outperforming the market and delivering profitable growth. That's clearly the 2 objectives. What is clear, Callum, we will never sacrifice growth and the long-term value generation for just delivering short-term margin. You imagine that, obviously, we could have delivered the 50 basis points, but it would have been done at the expense of marketing spending, which is absolutely not something we want to do. So we will -- really, we want to grow. We want to overperform the market. We want to be sure that when we come with breakthrough technologies, we're able to take over the market. Look at what happened with Thiamidol. Even in being confronted to a big attack from a major competitor, we overperformed, and we are still, by far, the market leader in this category. That's the obsession that will be always what will drive the way we deliver the growth and the way we deliver our strategy.
Christopher Sheldon: And the next question is from Guillaume Delmas from UBS.
Guillaume Gerard Vincent Delmas: Two questions for me, please. The first one on Derma and the second one on NIVEA Epigenetics. So on your Derma franchise, I mean, no signs of slowdown whatsoever and despite a much tougher market. So question here is you're going to start lapping quite a challenging basis of comparison from Q3. I think you start annualizing the rollout of Face Care in the U.S. and then the launching of Epicelline from September. So would you anticipate some normalization in your quarterly organic sales growth for Derma from Q3? Or at this stage, no reason to assume that you can't continue to print double-digit organic sales growth? And maybe confirming that in the persistent weakness you observed in July, that did not affect at all Derma? And then my second question is on NIVEA Epigenetics. So launch in the second half, which is expected to boost sales, I was wondering if you could help us quantify a little bit that impact on your numbers. I mean just looking at the last big breakthrough under NIVEA, which was LUMINOUS, I think in the year, let's call it, year 1, it was annual sales of EUR 45 million. How much bigger do you think Epigenetics can be relative to that year 1 of LUMINOUS? And also related to that, would it be fair to say you've got a relatively good visibility on that second half benefit from Epigenetics? Because at this stage, it's mostly sell-in, invoicing and so all the sellout and repeat purchase, that's not going to start being reflected in your organic sales growth until probably early 2026.
Vincent Warnery: Thank you, Guillaume. On Derma, you're absolutely right to remark that it's impressive. It's true that the delivering a double digit in Q1, in Q2, and we are very optimistic for the year to go, is something that is really confirming that when you bring innovation to a brand like Eucerin, when you are also ambitious in terms of white spaces, it is paying out. And it's interesting to know that we are delivering this double-digit growth in the market, which is no longer growing the way it used to grow. We are back to a level of growth of the Derma market, which is equal to mass market, and we are overperforming the market. The year to go, we are very optimistic. We might have a slower Q3 versus Q4 because obviously, as you mentioned, we launched Epicelline last year in Q3, but we will clearly deliver a yearly performance which is in line with what you have seen on the Q1 and Q2. And as you know very well, we have also nice things coming next year with the launch of [ Bactivia ], which is also extremely promising. NIVEA Epigenetics, we are clearly doing a much better job than LUMINOUS, first, because we are coming with a proposal which is also, I would say, much larger. We are coming into the antiaging category, which is by far the biggest category in the market. We're also much quicker in our phasing. The first time ever, we are able to launch new initiatives in 30 countries. Normally, we are much slower, also linked to the production, and normally, it takes us 12 months to do something like that. We are able to do that in exactly 5 months. And also, we are very optimistic because we have a price also. We learned also from LUMINOUS. LUMINOUS, in some countries, were too expensive. Here, we're coming with a proposal which is pretty nice. I think EUR 25 is a pretty nice proposal. So we believe -- I don't want to give you figures now. We believe that we'll do better than LUMINOUS at the beginning. I have a few sellout results, which are super promising. I got some results from Spain, for example. But obviously, we have to wait a little bit more. And as you rightly said, the sellout will be reflected into the sell-in of Q1 2026. And that will be one of the key success, I would say, or key driving forces of the beginning of the year for NIVEA next year.
Christopher Sheldon: And next one is Olivier Nicolai from Goldman.
Jean-Olivier Nicolai: Just a few follow-ups since most of my questions have been asked already. First of all, could you quantify the negative impact that you had in China in terms of business realignment on Q2, what Q2 would have been or even H1, if you prefer, would have been without that voluntary adjustment of your go-to-market in China ahead of the launch of NIVEA Thiamidol? And then secondly, on the guidance, on the top line for Consumer, obviously, taking the midpoint of your guidance implies a mid- single-digit growth in H2. If I look at your guidance, the 3% to 4% for Consumer on a full year basis, could you give us perhaps a bit more details on the underlying assumptions you have to explain whether you're going to reach 3% or whether you're going to reach 4%?
Vincent Warnery: On your -- I have to look at the figures for the first question, excluding China. On your second question, I think you have the 2 elements which are -- we take into account in the figures. The launch plan, so we're increasing sales of new launches by 100%, 98% or so, and it's starting in September. That's, I would say, safe figures because, as Guillaume mentioned, this is sell-in. So this is something we control in a way that we know the orders of the customers and we know how we're going to play it in display and in terms of media. And the second element, which is also important, we have a few also improvement. So I was mentioning China. China, the Q4 will be very, very positive on NIVEA because we'll be able to -- we are -- we will be clean from the personal care categories, which used to be -- which are no longer what we want to support, and we'll be also starting to launch NIVEA domestic. If you exclude -- do we have the figures excluding China? If you exclude China from the effect, we should be -- will be, in fact, in the Q2 will be single-digit negative is what we have, okay.
Christopher Sheldon: Okay. And then the next one is Jeremy Fialko from HSBC.
Jeremy David Fialko: So a couple from me. The first, if you take this innovation kind of pipeline that you've got this bigger effect of launches in the second half, how much of that is attributable to the NIVEA Epicelline? And then how much is just other stuff that you have going into the business? I really just want to understand kind of how reliant you are on this. And then the second thing is you talked about some of the retailer retaliation in Europe in Q2. Could you give us some sort of an indicator of kind of how much that cost in the quarter and the extent to which you're free of that in Q3 and into the back half of the year?
Vincent Warnery: On the first question, Epicelline is around something like 20% of the pipeline. We have -- the deodorant business is extremely big for Beiersdorf, and Derma Control is -- we're launching a full line of, I think, something like 6 SKUs. So that's also something like 40% of the portfolio. And then we have many, many other launches coming. We have also the sun season, which is starting in emerging countries in the south part of the hemisphere. We have Brazil. We have Australia. We have South Africa. So Epicelline is a big part of it, but we have also very big things coming on NIVEA, which are also making us optimistic. On your second question, we had -- in fact, the Q2 was particularly impacted by customer retaliations. We had many retailers, particularly in Germany and France and in Benelux, which we're asking for deflection and not only accepting the price increase but winning a price decrease, which we refused. We came -- we ended up the negotiation with a price increase, which is around 2.6%, 2.7%, which is 2 to 3x higher than what competition has done. The good news, as I said, now it's over. We still have 1 or 2 issues with some local retailers, but it's over. And we have also some very good news in terms of relisting. Shower, for example, was a good example of a category which has suffered a lot from delisting. We will be back on shelf in the second semester. So second semester, no big customer issue. We -- they want -- all of them play big, Epicelline and Derma Control. This is why, particularly in Europe, we are pretty optimistic regarding the year to go.
Jeremy David Fialko: And sorry, any indication of how much that might -- if we take your Western Europe Consumer organic sales growth, any idea of how much these delistings might have cost you in Q2? Any sort of an estimate?
Vincent Warnery: In Q2, I mean, Europe, it has cost us 2 points of growth easily.
Jeremy David Fialko: 2% Consumer growth due to the delistings? And do you think that will go to approximately 0 in Q3, Q4?
Vincent Warnery: Absolutely, 0. And again, back to shelf on some categories. When you get some deals with those retailers, all the SKUs, which were delisted are relisted, and that's obviously a benefit for the year to go.
Jeremy David Fialko: Okay. And so could it be that you even overcompensate because of some -- you say, because of some relisting where there was like a pipeline -- a repipelining in the quarter?
Vincent Warnery: We can. But it's also, as you can imagine, they are always delisting the least strategic SKUs. They don't delist the big ones. So I would not expect a miracle here, but yes, we'll have some upside coming from this relisting, yes.
Christopher Sheldon: The next question is from Rashad Kawan from Morgan Stanley.
Rashad Kawan: Just a couple for me, please. So first one, you upped your marketing spend year-over-year again, but obviously, growth, a bit more muted. Recognize it's a challenging environment. You also talked about the increased competition from local brands. We've seen M&A activity picking up in the sector as well. I mean, I guess the question is, do you think the cost of doing business today is higher versus a year, 2 or 3 years ago as in you're not getting as much ROI for the incremental investment spend as before and actually to spend more to retain a similar level of sales? I guess maybe another way to ask it, do you still think the 50 basis points margin expansion annually is the right target over the medium term? And then second question, can you just give us a bit more of an update on the China repositioning of NIVEA and whether you think Thiamidol is still a 2026 event or if there's a possibility that you can get a head start in Q4? And more broadly, just in China in terms of the dynamics, La Prairie, 3% growth, encouraging. Some of your peers have spoken about a bit of a stabilization in that market, and you touched on that a little bit. Can you just talk a little bit more about what you're seeing in China? And do you still expect La Prairie to be in growth in the second half of the year?
Vincent Warnery: We'll take the first question. I will deal with China after.
Astrid Hermann: Rashad, so actually probably the first 2 of your 3 questions, given that you also asked about midterm guidance. Let me answer your first one on marketing spend. We are not seeing marketing spend to get significantly more expensive. Just a little bit on the dynamics in the first half, we have had a number of very significant activities that we've done from, obviously, expanding epigenetics in Eucerin, so clearly supporting that through strong launch plans also into this year. We launched Thiamidol in the U.S., as you know, obviously, with a strong support plan. We have rolled out in India, as you know, Thiamidol as well. So we have had lots of activities. I think what we've, unfortunately, obviously not quite had on the other side is a stronger top line on NIVEA, which we would have expected. And then you would have seen a bit of a different certainly marketing percent to spend, right? So there, just from that perspective, you're seeing a bit of a dynamic play out like that. In terms of your 50 bps, as Vincent just said, look, we are in the midst of planning. We're trying to understand obviously better where markets are going, but also very clearly how we need to support our very strong innovation pipeline also into the next year. So at this point in time, we're not sharing any further information on that.
Vincent Warnery: On your question about China, we start to feel more positive about China. So we have already a very, very clear success with Eucerin. Eucerin also following the logic of cascading, we started to go domestic with Thiamidol with Eucerin. And you saw the figures, plus 62% on a pretty good basis. Clearly, we see the huge appeal of the Thiamidol proposal, and we will continue to grow obviously in the second semester. We have -- in luxury, it's important to mention that we grow. So we grow in net sales. We said 3%. But when you look at the retail sales and the sellout, if you look at China, we are -- the market is that plus 4%. We are growing at plus 5%, which is pretty good, and it's driven by China e-commerce at plus 34%. What is also good is that even in the very difficult environment, which is travel retail China, which is minus 18%, the market, we are at 0. So we're also gaining market share. So we see that the Chinese business now that we are coming with also a new look and feel in the counter, we are also much better in the way we drive our communication campaign on TikTok and Douyin, on JD, on Tmall. The new launch is coming. We are optimistic, and China could be a good news for La Prairie. The last thing obviously is NIVEA. So NIVEA will start to go domestic at the end of the Q4, and we will not be able to fully leverage 11/11. We are coming too late. So it's why, I mean, the big, big part of China, NIVEA will be more in 2026, but you will see already in the Q4, pretty good figures on NIVEA. The NIVEA personal care cheap brands will be all gone. We'll have renegotiated all our partnership with retailers. We will have also new partners to go online. So Q4, very good, but more to come in 2026. But all in all -- and I could also mention Chantecaille growing double digit everywhere in China every quarter. China is getting better and better, and we're starting to look at China with a more positive mood, I would say.
Christopher Sheldon: Then the next question is from David Hayes from Jefferies.
David Hayes: A couple from us. So first, just on the margin and the spending. So just to be clear, are the budgets that you put in place for the brand spending unchanged? Or have they gone up potentially? And I guess related to that, is the 30-market rollout in the second half of NIVEA Epicelline the original plan as well? And then just a little bit of detail on the margin, the other line, which is in the underlying -- it's EUR 29 million, I think, it was in the first half, up about EUR 20 million. I just wonder what that is. It's always very volatile, that line. I just wonder whether you can tell us what that EUR 20 million was related to. And then the second question, just in terms of the performance. I mean mid-April when we had the last set of results, you were talking about potentially doing 4% plus in Consumer in the second quarter. It feels like May and June must have got a lot worse quite quickly, and then you talked about July being still weak in the release last night. So what really happened in May and June? Was there a sharp drop-off and where? And then if you look at the sequential performance of underlying trends, is July better than May, June? Or is it still very similar as you've gone through those 3 months?
Astrid Hermann: David, I will take your first question. So in terms of spending, no, what we do not want is -- we do not want to have to cut to achieve the 50 basis points. We want to continue to support our new product innovations as we have planned. So that's really what this is related to. In terms of your second sub-question, I guess, related to spend, we didn't quite understand. You were a bit hard to hear. If you are talking about our overall profitability, we did have some benefits in the prior year, one-time benefits both on some real estate that we sold as well as some financial investments that really helped us, and we have there an unfavorable comparison in this year because of these onetime benefits. So maybe that explains what your question was. Not sure if I answered that correctly.
David Hayes: I guess is that in special factors, is the other line that's above the underlying operating profit? I think on the slide, you showed it was EUR 29 million versus EUR 8 million, I think, last year. I'm just trying to see whether there's anything specific in that number. As you said, it always moves around a little bit.
Astrid Hermann: Yes, this is what I mentioned. We did have some gains of a real estate transaction, the old campus that we own. So that's -- we got a benefit there last year, which we do not have this year.
Vincent Warnery: On your second question, the issue we faced in May, June and July that we -- we had all the bad news in the sense that we saw clearly the market declining and particularly emerging markets and Eastern Europe. We were also suffering from retaliations of some customers in Europe, and we didn't have big launches. That's what is changing. We are not overoptimistic on the market dynamics, but we know and you know that skin care is an offer-driven market. We know that we are coming with new proposals, new offers. We know also what customers have ordered. We know that we have planned in terms of in-store activity, media, influencers. This is why we believe it's going to change dramatically the situation of NIVEA in the months to come. But May, June, July were, I would say, the bottom of the year because no big launch and these market dynamics not really helping us.
Christopher Sheldon: And the next question is from Patrick Folan of Barclays.
Patrick Folan: Just on your regional performance, if we look at Latin America, there's been commentary on a weaker market there. NIVEA was weaker, as you said. Can you comment maybe on what the NIVEA growth was in Brazil? And are you seeing strong competition in markets like Brazil? And should we expect an improvement in the second half across our whole Latin America business? And second, regionally, within Eastern Europe and in Poland, in particular, you commented on that this morning. Where are the pressure points there? Are there certain categories that are weaker than expected? And then my second question is just on the 2025, just very quickly. Does the H2 Consumer organic guide, does that include potential for further mass market weakness? As you kind of outlined on the call, it seems to be a bit of an issue. So is that incorporating maybe further weakness over the coming months?
Vincent Warnery: On your first question, Brazil is a very interesting case. We have an extremely, extremely good performance on the Eucerin, and we are gaining -- I think we are growing by 60%. While we are declining in Brazil, we are hit, particularly, on deodorants. We have been -- we have not launched anything new over the last years. This is why the launch of Derma Control is very important. And it's a market which is complicated. We don't have great margin also. So we don't have so much space to invest, and we are lacking -- we are struggling with local brands, with -- so that's a big challenge. Brazil is a challenge for us with NIVEA, but again, the launch of Derma Control, the launch of Epicelline should help us, and we've seen the success of Epicelline on Brazil. Poland, we have a few -- we have 2 problems. Poland, we have market dynamics, which is no longer what it used to be. So the market dynamics was divided by 2. We are back to a kind of market growth which is similar to what you find in Western Europe. And until recently, I mean, countries like Poland were growing as fast as emerging market. And we have also -- we had some big retailer issues, big expectations from retailers that will decrease prices, which we didn't do. So we had some delisting. I would say, we used to struggle a lot in France and Germany. Poland has been the third country joining the group. But again here, we found the deal. So we have no issue anymore in Poland. And we have the big launch plan coming. Epicelline is already in shelf. We have also Derma Control. So hopefully, I'm expecting better news on Poland. On your second question, very bluntly, we have considered that there is absolutely no improvement in the market dynamics in both mass market and Derma. So the guidance we are giving for the year to go is based on the fact that we are not overoptimistic on market dynamics, but we know what we are bringing to the market, and we take into account the launch plan together also with the marketing spendings that will support these initiatives in the months to go.
Christopher Sheldon: And the next one is Victoria Petrova from Bank of America.
Victoria Petrova: I have a couple of clarification questions. First of all, it's a bit of a longer term. S-Biomedic and acne treatment are you still testing this free-of-charge sampling? How should we think about it going forward? Do you still see a potential there? That's number one. And my second question just details on 2 markets. First of all, deo category performance in Lat Am, we have heard that there is some slowdown there. How does it fit into your extended dermatological build there and launch expectations for the second half? And when we look at La Prairie 3% sales in China, what is the approximate split between travel, off-line and e-com in China for La Prairie brand?
Vincent Warnery: On your first question, acne, so it's the launch of, we call it, [ Bactivia ] next year is doing extremely well. So as we decided we are -- we have given 3 products to top key opinion leaders across the world. I think we have something like 300 dermatologists, which are using the product right now with our patients. And it's doing extremely well. And I got, yesterday night, the first results. We have -- it's absolutely impressive. We have 77% of the patients which are already seeing big improvements, and the extraordinary news is that it's after 4 weeks, while our concept, our promise is after 8 weeks. So we are pretty happy. We'll share those results in the EADV, the big dermatologist congress, in September. But more than ever, we believe that this launch next year will be a game changer, and we are extremely excited and -- for what it can bring to Eucerin and to Beiersdorf. On your second question, I mean the deodorants, the market in Lat Am and particularly in Brazil is struggling. But it's also like beauty market, also driven by innovation. And we must say that some of our competitors have done a pretty good job, even being able to launch some pretty premium offer with a nice concept. We are coming with Derma Control now. We have very good feedback from retailers. We have big, big display campaign, advertising. So we believe that it will help us making a better job. It's also better gross margin. So all of that is making us more optimistic, but still, it's a difficult market. And we don't have an extremely beautiful P&L with this category in Latin America and particularly in Brazil. In -- when you look at China on e-commerce, I think e-commerce today is close to, I think, 10% of our sales in China. I'm talking La Prairie, and it's growing. It's growing. So I don't know how far we can go. As you know, we are not doing any promotions. So we are not driven by the big 50% or 80% discount that you can find with other competitors. So it will never be 40%, 50% of the business. But today, 10%. Could be, tomorrow, 20%. I think we are very happy with the way we have been able to work in this segment, having the different offers also for JD, for Tmall, for TikTok, allowing us also to recruit younger buyers, also allowing us to recruit people based in Tier 3 and Tier 4 cities where we do not have a brick-and-mortar counter. So it's a very good addition. And how far can we go with e-commerce, we'll see. But so far, so good, and the products which are coming now will also help us growing this part of the business and while developing travel retail outside Hainan. Hainan is still difficult. And while also developing the business in brick-and-mortar, we continue to open stores. We are extremely -- we have a small distribution in China. We have only 100 stores, which is very small in comparison with the industry. Every year, we'll continue to open 2 to 10 stores depending on the locations and where we believe we have potential to grow.
Christopher Sheldon: And the next question is from Tom Sykes of Deutsche Bank.
Thomas Richard Sykes: Just again, on the longer-term profitability. I think if you look at the Consumer margin guidance for this year, it's down about 170 basis points, something like that, versus, say, 2018, so pre-COVID and pre some of the resets. Your organic growth over that time period in Consumer is going to be 45%. Your gross margin is actually going to be above -- probably, depending on what happens in H2, above where you were in 2018. So where is the biggest -- what's happening to profitability? Why are we not getting this leverage? And is it just La Prairie? Or do you see it as other profit pools within the Consumer Business, just whether it be competition or increased cost of doing business that's just not happening? And then secondly, on the whole kind of H2 launches, everybody is talking about launches being higher in H2. I wondered whether you -- is that something you also do believe that the launch activity is going to be much higher? And ultimately, isn't this just a retailer decision? Like if they want to restock, your launches will be successful. If they don't want to restock, they won't be successful because they're actually under pressure and we're not hearing very many people talking about restocking at the moment.
Astrid Hermann: Tom, I will take your first question related to longer-term profitability. Look, there is a few, I would call them, bigger impacts why we are not better than we are, as you mentioned. One is we clearly, with our strategic reset a few years ago, said we needed to catch up in strategic areas and overinvest to ensure we close the gap that unfortunately was there in the prior period. And we've spoken about that many times. But really across a number of areas where we really needed to catch up, obviously, on e-commerce, digitalization, digital marketing and so on, we really need -- sustainability. So there are a number of areas that we have invested heavily to catch up. And I think we've made real progress and closed many of those gaps completely. So that's a really great place. But that has obviously cost money. On gross margin, you have to remember, we have seen significant cost increases over that period of time as well. So we've been able to absorb that. But unfortunately, that's not really delivered a whole lot on top. And then I think the last point is, as you've mentioned, to be honest, we were hoping to have a luxury business that would be significantly bigger than it is right now. We have made some midterm planning just a couple of years ago and again, updated last year, where when you look back, we were hoping to have a much larger business there and given the margins, the profitability profile of that business, at least in the past, we would have been at a very different place now. So the good news is we've been able to mostly absorb that with the remainder of the business. So I'm quite happy with that. But obviously, that is getting harder, as you can imagine.
Vincent Warnery: On your second question, Tom, it's -- the question of stocking/destocking is no longer something that retailers are using. They display your product if it's selling out. I can give you an example of Ulta, which is putting you at the bottom of the shelf in the beginning, and then if you sell more, you go up and up and up. That's the way it works. So there is no emotions linked to a launch. I mean we had discussions with mass retailers since February, in fact, when we started to show the results of Epicelline -- Eucerin Epicelline, I can tell you that the support of all retailers across the world has been absolutely phenomenal. They are -- they just look at the figures, they say we have to do that. When you come -- when we came with Derma Control and we said we have this unique opportunity to combine the expertise we have in deodorants and the fact that we are the best skin care company, that's obviously something where we got a lot of support. So stocking/destocking is something that you use in sun care because you are always hoping to have a great season. And the good news for us is that because we have a fantastic performance, we'll have no issue of returns, of destocking, but not really in other categories. So what we have today is a desire of retailer to bet on the big launches I was mentioning before, starting in September, big display campaign. This is already, in terms of sell-in, the biggest-ever launch of Beiersdorf. Again, we have the orders. We have -- everything is planned. We have no consumer -- customer retaliations. We have a lot of media support behind those launches. This is why we feel pretty optimist. And then as always, the second moment of truth will be the sellout, and the third moment of truth will the repurchase. And I think I gave you the figures of Eucerin. It makes us super optimistic.
Thomas Richard Sykes: Sorry, could I ask one follow-up? Just I think you said before that around 50% of NIVEA would be renovated or have some kind of newness, et cetera, attached to it. How much of that -- how much was that in H1, please?
Vincent Warnery: Something like 20%. 20%, because we -- with the big renovation are coming in the second semester, it's mostly on the body -- the NIVEA Body line and the deodorants, the Black & White and others. So the majority of the renovation is coming also in the second semester. But that's -- you see that's not as big as a breakthrough innovation. And it's just being sure that we bring new news, that we are able to come with a new story, a new advertising campaign, new formula in some cases. It doesn't have the same strength as a breakthrough launch like Derma Control and Epicelline.
Thomas Richard Sykes: 20%, okay.
Christopher Sheldon: And the next one is Ulrike Dauer from Dow Jones.
Ulrike Dauer: Just one second. Yes, I want to elaborate a little bit on the tariffs. I haven't heard so much from Beiersdorf about additional costs expected from the various new import tariffs. Procter & Gamble said something they would be expecting USD 1 billion per year. And Trump will, next week, announce sectoral import tariffs also on the pharma industry. How could this affect you? How could this affect Beiersdorf? Thanks for elaborating a little bit on that.
Astrid Hermann: Ulrike, thanks a lot for your question. Look, it's a bit of a moment in time since there is not enough certainty yet on all the tariffs. But as we stand at the moment, the impacts on Beiersdorf are pretty small. We produce -- what we sell in the U.S., a very large portion of that is produced either in Mexico or the U.S., very large portion. Currently, as things stand right now, Mexico, our products fall under USMCA so are covered and would not be impacted by tariffs, but of course, that could also change. But at the moment, that's not impacted. And then it's -- what we produce here in Europe, yes, we do have a little bit of production in Europe and then some production in Switzerland. And certainly, we don't like any impact. We would rather obviously use this money differently, invest it behind our brands. But at the moment, it is still quite a small impact and especially this year because we have, of course, mitigated as much as we can by shipping earlier to the U.S. over the last few months. So, so far, so good, but let's see.
Ulrike Dauer: Have you calculated a little bit more? I mean that's what you already said for the first quarter and also you transferred a little bit upfront. But is -- have you done a little bit more of a math that you could quantify, give some figures to us today?
Astrid Hermann: Yes, we have, of course, done the math, but again, the math changes all the time. So we don't like to put numbers out that could be, again, obsolete tomorrow. But as I said, it is a pretty small impact at the moment.
Christopher Sheldon: And then the next question in line is from Misha Omanadze of BNP Paribas Exane.
Mikheil Omanadze: I have 2, please. So first, on this pricing dynamic and delistings, I was just trying to understand how did your competition respond to those potential demands from retailers from -- for price reductions. I'm trying to understand whether some of them agreed for price reductions and then you may find it a bit more difficult to maintain your volume share in the coming months. And one housekeeping question. If I look at the other financial results, we have a negative number this year of around EUR 8 million. It was a positive EUR 15 million in H1 last year. Could you please help us how to think about the full year number in this line?
Vincent Warnery: I take the first question. We -- I will, of course, not comment what competitors did in terms of price increase. What I know is that if I look at our main competitors, the price increase we did on NIVEA is much, much higher than what happened for the other brands. Some of them decreased prices. Some of them increase -- did not increase prices. We increased prices. We wanted to cover the increased cost of goods. Again, we've been through that. It was painful. But as of now, we are good to go. Only a few remaining local retailers, but the other ones we signed a deal, which is not deflation, which is helping us improving further our gross margin and finding means to invest on our brands.
Astrid Hermann: Your second question, we had a positive gain from some investments in the prior year. And we, unfortunately, have a negative revaluation related to a long-term loan in China. Happy to have the team take you through that later just because it is a bit more technical in nature, but that difference is what the swing is based on.
Christopher Sheldon: And then we have one last question from Matthias Inverardi from Reuters.
Matthias Inverardi: Another question on tariffs, if I may. La Prairie is based in Switzerland. Will La Prairie be hit from Trump tariffs on Switzerland as it's based there? And what -- and to what extent it would be hit?
Astrid Hermann: Yes, that is part of, obviously, the news we did not care very much for this last week. 39% on Swiss products, obviously, that would have an impact at the moment. That said, not necessarily for this year. We have already stocked for La Prairie in the U.S. So we are good there, and we very much hope, obviously, that the negotiations that we know are furiously going on right now between Switzerland and the U.S. would produce a better picture because our products are made in Switzerland. It does say that on our La Prairie products. So we would then need to really reflect that in consumer pricing to obviously offset.
Christopher Sheldon: Thank you. It looks like that was the last question. This concludes our first half year earnings call. Beiersdorf's next Investor Relations event will be the release of our third quarter results on October 23, 2025. We appreciate your interest in Beiersdorf. Have a great remaining summer, and we look forward to seeing you back again here in October. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.